Operator: Good morning, ladies and gentlemen, and welcome to the CSX Corporation Fourth Quarter 2010 Earnings Call. [Operator Instructions] For opening remarks and introduction, I would like to turn the call over to Mr. David Baggs, Assistant Vice President, Investor Relations for CSX Corporation.
David Baggs: Thank you, Lori, and good morning, everyone. And again, welcome to CSX Corporation's fourth quarter 2010 earnings presentation. The presentation material that we'll be reviewing this morning, along with our quarterly financial report and our safety and service measurements, are available on our website at CSX.com under the Investor section. In addition, following the presentation today, a webcast and podcast replay will be available on the website. Here representing CSX this morning are Michael Ward, the company's Chairman, President and Chief Executive Officer; Clarence Gooden, Chief Sales and Marketing Officer; David Brown, Chief Operating Officer; and Oscar Munoz, Chief Financial Officer. Now before we begin the formal part of our program, let me remind everyone that the presentation and other statements made by the company contain forward-looking statements. You are encouraged to review the company's disclosure and the accompanying presentation on Slide 2. This presentation identifies forward-looking statements and risks and uncertainties that could cause actual performance to differ materially from the results anticipated by these statements. In addition, let me also remind everyone that at the end of the presentation, we will conduct a question-and-answer session with the research analysts. With 32 analysts now covering CSX, I would ask that as a courtesy to everyone to please limit your inquiries to one primary and one follow-up question. And with that, let me turn the presentation over to CSX Corporation's Chairman, President and Chief Executive Officer, Michael Ward. Michael?
Michael Ward: Well, thank you, David, and good morning, everyone. Last evening, we were pleased to report another quarter of excellent financial results, with earnings per share of $1.14. These results reflect our continued relentless focus on delivering value to our customers and our shareholders. With a positive economic backdrop, Clarence and the sales and marketing team were able to leverage our strong service product to increase volume and revenue across each of the three major markets we serve: merchandise, intermodal and coal. At the same time, in spite of the winter weather that has impacted volume in the last month of the quarter, David and the operating team kept the network fluid and continued to produce strong results in safety, productivity and service for our customers. As a result, CSX posted record results for the fourth quarter, with operating income increasing 46% to $846 million, and with earnings per share increasing 48% to $1.14. Turning to Slide 5, as we began 2010, we told you that we believe the actions we took during the recession would set the stage for even more business success going forward. As you can see from our results for the full year, that clearly happened. For the year, we set records and operating income up 35%, operating ratio, which improved 380 basis points, and earnings per share, which improved 40%. 2010 was a year of momentum, with volume, revenue, productivity and operating leverage driving strong results. We expect that momentum will continue in 2011. This year, we expect again to produce record financial results, including a high 60s operating ratio, which positions the company well, as we progress toward our goal of a 65% operating ratio within the next five years. We expect to achieve this, all the while continuing to invest in the business and producing a service product that meets the needs of CSX's growing customer base. Now let me turn the presentation over to Clarence to review our top line results. Clarence?
Clarence Gooden: Thank you, Michael, and good morning, everyone. As the economy began its second year of growth, positive trends continued to support growth across the businesses that we serve. According to the Federal Reserve, industrial production finished the year by rising in December by more than it had since July. In addition, the manufacturing sector continued to expand for a 17th consecutive month as reflected in our reading of 57 for their latest Institute for Supply Management's index. These improving trends, combined with the value of our rail transportation product, led to a strong increase in volume experienced during the fourth quarter. As we continue to see growing demand for Rail Service, we remain focused on capturing the value of our services, and we continue to be committed to delivering an even safer and more reliable service product for our customers. Now let's turn to the next slide and review the results. Let me begin my discussion on this slide by reminding everyone that CSX follows a 52, 53 week fiscal year. As a result, CSX had an extra week in 2010. This resulted in 14 reporting weeks for the fourth quarter. As you can see in each of the charts on this slide, we are providing about a 14 week view, which includes the benefit of the extra week and a comparable 13 week view of our fourth quarter. In the chart on the left, after adjusting for the $171 million in revenue associated with the extra week, our fourth quarter revenue grew 14%. Looking at the two charts on the right, volume and revenue per unit both increased 7% after adjusting for the extra week. Let me underscore that these 13-week comparable results are non-GAAP financial measures that may provide you with a more meaningful comparison to future and prior quarterly results. Let me also refer you to the quarterly financial report, which presents both GAAP and non-GAAP results by individual markets. That said, the rest of my discussion today will be based on using that 13-week comparable quarter to give you a year-over-year view of our performance. Now let's look at the components of the change in revenue on Slide 8. On a comparable basis, CSX revenue increased 14% in the quarter due to volume growth, core pricing gains and the impact of higher fuel cost reflected in our fuel surcharge program. As you can see on the chart, volume increases drove $155 million of year-over-year revenue growth. Also, the combined effect of rate and mix accounted for $156 million of the increase, reflecting yield gains across all markets, as we continue to sell the value of CSX's service product and the relative value of rail transportation. Finally, as you look further to the right, the impact of higher fuel cost increased our fuel recovery $14 million in the quarter. Let's turn to the next slide and take a closer look at the volume growth. Looking to the far right-hand side of this chart, you can see that total volume increased 7% on a comparable basis versus the same period last year. This growth comes on top of stronger year-over-year comparisons in the fourth quarter of 2009, as U.S. rail shipments begin to recover in the second half of last year. This overall rate of growth is nearly twice the rate of the overall economy, with the primary driver being our Intermodal business, which continues to deliver double-digit growth on the strength of both our International and Core Domestic businesses. Now turning to Slide 10. Revenue per unit increased by 7%, driven by price, mix and increased fuel recovery. The largest component of the increase, same-store sales pricing, increased 6.2%. Recall, that same-store sales are defined as shipments with the same customer, commodity and car type, and the same argent [ph] and destination. These shipments represent approximately 75% of our total traffic base. In addition, increased fuel recovery had a positive effect on revenue per unit. As you look at the charts, you will also notice higher revenue per unit back in 2008. That resulted from even higher fuel prices that exist today. Finally, partially offsetting these two favorable the drivers was the effect of negative mix changes reflecting the strong growth and lower revenue per unit intermodal traffic and the continued impact from terminating a prior interline intermodal agreement in 2010. These improvements continue to reflect the substantial value CSX is providing to our customers, as well as the relative value of rail transportation. As such, looking forward, we continue to expect core price increases to exceed rail inflation on a sustainable basis. Now let's take a look at each of the major markets that we serve starting with coal. Coal revenue increased 26% driven by 5% increase in volume and an increase in revenue per unit. The increase in revenue per unit reflects an improvement in yield, higher fuel recovery and positive mix. Export coal grew year-over-year as demand was strong for U.S. metallurgical coal shipments to Europe and Asia. For the full year, CSX shipped just over 30 million tons of coal to the export market. On the domestic side, utility demand strengthened as utilities maintained stockpile levels, while experiencing increased burn rates, and the industrial sector also experienced growth, driven by stronger steel production. That said, the fourth quarter results were also negatively impacted by weather during the last month of the quarter. This has had a temporal impact, and it is expected to be made up moving forward. Looking at 2011, we expect to ship 35 million to 40 million tons of export coal driven by improving global demand and evolving supply constraints outside of the United States. As the impact of the unfortunate situation in Australia becomes more clear, where we are in that range will also become more clear. In addition, utility demand is expected to be favorable year-over-year, so electrical generation is expected to grow, and industrial demand for coal is also expected to increase, consistent with the ongoing economic growth. Now turning to our Intermodal results. Intermodal revenue decreased 1% as we continue to cycle the effects of terminating a prior interline intermodal agreement 2010, which also negatively impacted revenue per unit. International volumes grew again this quarter, up 31% due to stronger U.S. economy and due to new international customers gained as a result of our portfolio of service and network offerings. As a result of this strong growth, international volumes represented almost half of CSX's intermodal shipments for the quarter versus 40% in 2009. Domestic volumes shrank 3% year-over-year, consistent with what we saw in the third quarter. Without the year-over-year volume declines experienced by one of our largest private asset customers, we would've experienced growth in this sector, as well. Looking forward, we expect intermodal revenue growth for the year and to achieve record volumes in 2011. We continue to see strong demand to convert domestic freight off of the highway for the majority of our customer base, driven by tighter over-the-road truck capacity. In addition, the pace of imports remain strong, and we continue to see demand in new markets. CSX also expects to continue making gains in pricing across both lines of this business. Finally, we continue to make strategic investments in our growing Intermodal business, such as in our National Gateway initiative and our Northwest Ohio intermodal facility, which will open by the end of March. We expect all of these investments to continue driving long-term intermodal growth. Turning to the next slide, let's look at the merchandise markets. The merchandise markets show revenue growth across all three sectors. Within the agricultural sector, revenue growth was driven by yield and mix improvements that more than offset the decline in volume. Here, the declines in shipments of export feed ingredients and phosphates more than offset the increased shipments of feed, grain and food and consumer products. Within the industrial sector, all three markets had significant improvements in revenue. First, automotive shipments increased on growth in North American light vehicle production; second, metals volumes improved largely due to increases in scrap steel consumption; and third, the chemical market saw a growth in demand for intermediate products used in the manufacturing of automobiles and consumer goods. Finally, within the housing and construction sector, forest products volumes grew despite the weakness in construction-related markets. Growth in this sector was primarily driven by increased shipments of pulp board and paper used in packaging for consumer products, as well as an increase in volume associated with minerals and waste shipments. And turning to the next slide, let's look at the overall merchandise summary across these sectors. Merchandise revenue increased 12%, driven by a 4% increase in volume and a 7% higher revenue per unit. The volume growth was led by 18% growth year-over-year in Automotive, as well as a 8% growth in Metals. Revenue per unit increased due to high yields, some mix changes and increased fuel recovery. Looking toward the first quarter, we expect growth to continue across the steel and chemical markets as a result of the growing economy. And we expect demand for automobiles to continue. We also see the housing market beginning to stabilize. Finally, continued improvement in both consumer sentiment and personal income should support spending and growth across several markets. Now let me wrap up on the next slide. Looking ahead, we expect economic growth to continue. Discussions with our customers in key leading indicators suggest continued economic growth throughout 2011. With that as a backdrop, CSX's volume growth in 2011 is expected to exceed both gross domestic product and industrial production. As such, our first quarter volume outlook is favorable. Our network is well-positioned to handle this volume growth as we've handled these higher volumes in the past. And we are well-prepared to continue providing the service reliability required by our customers. At the same time, core pricing gains are expected to be broad-based and again exceed rail inflation, reflecting the value of CSX’s service product and the relative value of rail transportation. Given what we are accomplishing, we remain confident that CSX stands out as a compelling value for customers, especially as they seek transportation providers that also offer environmental solutions. Thank you. And now let me turn the presentation over to David to review our operating results
David Brown: Thank you, Clarence, and good morning, everyone. Since 2005, CSX has improved its safety and service measures by more than 50% and generated nearly $1 billion in total productivity gains. The talented people of CSX enhance performance everyday with rigorous focus on leadership, discipline and execution. The results are encouraging, and we are building upon them with a new initiative called mutual accountability. This initiative is grounded in the idea that all employees are accountable to each other. We recognize that improved customer service is the key to the next level of success. The high-level of customer service that we seek to offer can best be achieved and sustained on a foundation of communication and shared commitment. Now let's look at some of the important outcomes starting with safety on Slide 18. This slide shows both fourth quarter and full year FRA personal injury and train accident rates over the last four years. The left-hand panel shows personal injury results. In the fourth quarter shown on the top half, the personal injury rate was 0.99%. At the same time, you can see on the bottom half our full year 2010 frequency improved 17% to 1.0%. This is a record full-year personal injury performance at CSX. Looking at Train Accidents on the right-hand panel, fourth quarter and full year frequency rates improved 21% and 9%, respectively. These excellent results were achieved through a sustained commitment to safety by all employees. Now let's look at operating performance on Slide 19. Overall, the network ran well during the quarter, despite significant winter weather challenges that impacted volume. On the left side of the chart, On-time Originations and Arrivals both remain at strong levels and continue to support efficient and reliable train operations for customers. On the right side of the chart, train velocity fell slightly and dwell increased modestly, but both continued at one plan levels, while absorbing volume growth. I believe that with our commitment to serving customers safely and reliably, we will improve these measures in 2011. Turning to Slide 20, let me discuss how we are focusing on the three core networks to deliver value for customers. The CSX team focuses specifically on reliability, productivity and service drivers to ensure a well-balanced product offering for customers across three core networks. Here, you can see some of the network-specific drivers and initiatives that we rely upon on an ongoing basis. You see some familiar measures that are important to ensure reliability: train velocity, terminal dwell time and on-time performance. From a productivity standpoint, train length, tons per car, gaining the efficiency of double stack and yard automation play a major role in driving greater efficiency. Finally, there are many measures of customer service that help us gain insight into each network. For coal, tools such as the unit train management system help better coordinate train service with customer needs. For the intermodal network, a focus on container availability and consistent transit time are critical service drivers. And in the merchandise network, a focus on meeting customer expectations with local switching and committed time of arrival continue as main drivers of success. Moving to Slide 21, let's take a look at our productivity results. CSX has maintained a strong pipeline of productivity over the last several years, and that continued in 2010. Even after the significant productivity gains achieved in 2009, we achieved an additional $151 million of productivity savings in 2010 through effective asset management, absorption of car loan growth into the existing train operating plan, implementation of technology innovations and prudent expense control. These savings helped offset much of the inflation cost associated with our non-fuel expenses and were achieved through the leadership and efforts across functional process improvement teams, who were charged with maintaining productivity pipelines in the future years and driving the operational discipline to achieve targeted results. Turning to the next slide. Slide 22 shows the continuous improvement in the operating ratio over the next last five years, ending with a fourth quarter's record of 70.0%. We have sustainable momentum going forward. As new business is brought on and assets are deployed to handle this traffic, CSX is well-positioned to deliver on the goal of a 65% operating ratio no later than 2015. Now let's take a look at some of the areas where the company continues to invest in the network to gain efficiencies and prepare for growth. We continue to invest in key terminal expansions and infrastructure projects. The map on the left side of the page shows some of the investments made over the last few years and projects currently under development. We have made investments in the strength, flexibility and capacity of the network through major projects, including the Southeastern and I-90 Corridors. These critical infrastructure projects, which expanded capacity on long-haul routes, ensure the network remains fluid and efficient as volume returns. Key intermodal and rail term hauls have also added capacity and improved throughput in congested areas. Finally, new strategic investments through public-private partnerships including the National Gateway initiative and the expansions in Massachusetts and Florida will provide enhanced transit times and improved service for customers. These long-term investments provide a foundation for volume growth, productivity, as well as safe and reliable operations. Now let's move on to the next slide and look at the locomotive and freight car capacity available to handle additional volume. As you can see on the left-hand side of the slide, we returned the assets to the network during 2010 to accommodate growth. That said, there is still locomotive and car resources remaining in storage at levels sufficient to handle significant growth. On the locomotive side, there are 211 locomotives that can be immediately returned to service. At the same time, there are an additional 273 locomotives that require some limited maintenance that can also be brought back onto the network when needed. Freight cars are also available to handle additional growth. There are nearly 11,000 in storage that can be redeployed to support additional volume in most lines of business. Turning to the next Slide, I'll review the hiring plans for 2011. During 2011, we expect to hire and train nearly 2,900 new union employees to offset attrition, which is anticipated to be more than 2,500. This hiring also supports further business growth. As a reminder, hiring and training is a process that requires four to six months before new employees are promoted into full-time positions. Additionally, there will be some hiring to support the implementation of Positive Train Control, which is included in the overall hiring plan. Bottom line, we continue to manage resources effectively and are positioned to ensure the right people and resources are in the right locations to serve customers effectively. Now let's wrap up on Slide 26. Looking forward, we will build on our strong safety performance as we pursue the ultimate goal of zero injuries and accidents. The network will remain stable, fluid and efficient, while providing a more reliable product for our customers. We will continue to drive productivity, control costs and manage resource levels closely as volume grows. Finally, our focus on service will enable continued car load growth by meeting the expectations of our customers. Our employees continue to hold each other mutually accountable for providing a high level of service, safely, reliably and efficiently, which delivers value to both customer and shareholders. Now let me turn the presentation over to Oscar to review the financials.
Oscar Munoz: Thank you, David. And good morning, everybody. Before I begin my financial review, and as Clarence discussed earlier, CSX's fourth quarter results included an extra week resulting from the company's 52, 53 week fiscal reporting calendar. Now while Clarence reviewed the quarterly volume and revenue results on a comparable 13-week basis, I will present our consolidated financial results on a GAAP basis for the fourth quarter of 2010, which includes the impact of that extra week. So with that as background, let's turn to Slide 28 for a summary of the financial results. Let's start with an overview of the results, starting at the top of the slide. Revenue growth, coupled with the continued strong cost management delivered in the face of increasing fuel prices yielded a 46% increase in operating income to a fourth quarter record $846 million. Looking below the line, interest expense was up $11 million, primarily reflecting the impact of the extra week. In addition, other income was down $11 million, the details of which are in the quarterly financial report. Income taxes were $271 million in the quarter, the result of higher earnings and the cycling of a prior year favorable state tax adjustment. For the quarter, the effective tax rate was 38.7%. As we go forward, we should expect the tax rate to approximately be 38% in 2011. All in, CSX finished the quarter with EPS of $1.14, an improvement of 48% versus last year. Turn to the next Slide, let's review the impact of the lag effect associated with our fuel surcharge program. As we've mentioned in prior quarters, the lag in our fuel surcharge program produces a favorable earnings impact in times of falling fuel prices and a headwind in periods of rising prices. During the first three quarters of this year, fuel prices were not a significant issue. However, as prices rose during the fourth quarter, the result was a $20 million headwind due to the lag effect of our program. Given the recent trend of rising fuel prices, and looking at the forward curve, we expect that fuel lag could continue to be a headwind certainly in the first quarter and possibly beyond. Let's begin our expense review in detail on Slide 30. Labor expense increased $776 million from $116 million from last year. Additional train starts as a result of incremental volume drove $53 million of increased expense in the fourth quarter. Looking at the chart on the left, average headcount for the quarter increased by about 2%. Going forward, we expect headcount to be up approximately 2% sequentially between the fourth quarter of 2010 and the first quarter of 2011, which provides us with the lead time necessary to hire and train new employees ahead of the anticipated attrition. For the full year, as David said, we expect overall headcount to be only up about 1% to 2% year-over-year, which supports the volume growth expected and the installation of various Positive Train Control equipment. Next, as mentioned on previous calls, CSX and the rail industry continue to face wage and health care costs that have been running above normal inflation rates. The impact for CSX in this quarter was $34 million. The final driver was an increase in incentive compensation, which impacted us by $29 million as a result of the increase in earnings. You will recall this program is available to management employees and a portion of our union workforce that have performance-based agreements. Moving to Slide 31, MS&O expenses decreased 4% or $21 million versus last year. If you look at the table on the right, the largest driver relates to Inland Transportation costs, which were favorable by $45 million. Just as a reminder, this relates to the termination of a prior intermodal interline agreement and results in a quarterly reduction in revenue, as well as a corresponding reduction in operating expense. The first quarter of 2011 will be the last time you will see this level of impact before we cycle this event in the second quarter. In addition, a decrease in the number of casualty claims is the primary driver of this quarter's net $20 million favorable reserve adjustment. And finally, we saw a $44 million increase in volume related and other expenses based on the 13% volume growth versus the fourth quarter of 2009. We move to the next slide on fuel. Total fuel increased $96 million or 38% versus last year. Looking at the chart on the left, CSX's average cost per gallon for locomotive fuel climbed to $2.42, an increase of 19%. This increase in fuel price accounted for $51 million of higher expense, as seen in the table on the right. Next, higher volume accounted for $36 million of incremental expense. Moving down the table, fuel efficiency was $5 million unfavorable as harsh winter weather and business mix drove an increase in gallons for gross ton-mile. And rounding up the table, non-locomotive fuel increased by an additional $5 million. Let's review the remaining fourth quarter expenses on Slide 33. Beginning with depreciation, these cost increased $31 million year-over-year to both a net increase in our asset base and the impact of the additional week of expense. Going forward, you can expect depreciation to be in the range of $240 million to $245 million per quarter as we continue to increase our asset base. Moving to rents, expenses increased $7 million, primarily reflecting the higher cost associated with volume. Now let's take a quick look at our full 2010 year full year performance. As volume began to return in 2010, we remained focused on operating a safe, reliable and efficient railroad. At the same time, we continue to demonstrate our commitment to drive profitable growth. As a result, CSX produced record results for the full year. On the right side of the chart, operating income was up 35% and EPS increased 40%, as CSX achieved records in both measures. As Michael discussed earlier, our full year operating ratio was also an all-time record of 71.1%, a year-over-year improvement of 380 basis points. Going forward, the actions taken to achieve these results position us well for continued success in 2011 and beyond. Now let's take a look at free cash flow on Slide 35. The improving earning power of the company translated into free cash flow in 2010 of $1.5 billion. With increased earnings and an improving financial position, we remain committed to our balanced approach in deploying capital for our shareholders. First, as our free cash flow has increased, we've invested more in our business. In 2010, we invested $1.8 billion aimed at delivering long-term value to our customers and shareholders. This level of investment has helped propel CSX's result over the last several years. During the year, we also announced the seventh and eighth increase in our quarterly dividend since 2005, collectively representing a 35% compounded annual growth rate over that five-year period. And finally we continued our current share repurchase program. During the fourth quarter, we repurchased nearly $350 million or about 5.6 million shares of our common stock. Now for the year, we repurchased approximately $1.5 billion or more than 26 million shares. And cumulatively, over $5.6 billion of shares have been repurchased since 2006. Going forward, we expect to complete our current share repurchase program by the end of the first quarter. Now with that, let's review our capital investment plan for 2011. In this year, we are expecting to invest $2 billion in our business. On the chart on the left, you can see that the bulk of the spending will be used to maintain our infrastructure and invest in our rolling stock to help ensure a fluid network for our customers. We will increase spending this year for strategic capital, supporting investments in the long-term profitable growth. These investments, coupled with the continued focus on operating efficiencies and inflation plus pricing, will help us grow to a 65% operating ratio no later than 2015. Finally, the investment needed to meet regulatory requirements will increase, but the primary driver continue to be Positive Train Control, an unfunded mandate that must be operational by 2015. As previously stated, our estimates for the total cost of PTC implementation are expected to exceed $1.2 billion by 2015. Now let me wrap up on the last slide. Entering 2011, CSX's liquidity, core earning power and ability to generate cash are stronger than ever. As Clarence mentioned, the economy will continue to expand in 2011, and CSX expects to grow above both GDP and IDP, while producing core pricing gains in excess of rail inflation. In addition, we remain focused on delivering operating leverage to accretive continuing volume growth. Further process improvement and technology advancements will deliver $130 million to $140 million in productivity this year. And we expect incremental margins will remain strong in 2011. Given this foundation of growth, core pricing and productivity, we expect our operating ratio in 2011 to be in the high 60s. This positions us well to deliver on CSX's operating ratio target of 65% no later than 2015. Finally, we remain committed to a balanced deployment of cash by investing in the business, delivering dividends and shared buybacks and creating value for the shareholders. So with that, let me turn the presentation back to Michael.
Michael Ward: Well thank you, Oscar. We are gratified that the customers' businesses are showing real signs of recovery and proud the way our employees have stepped up to meet their needs, while delivering the financial results you have seen this morning. This is an important time for CSX and other companies to take stock in what we need to do together to drive growth and increase U.S. competitiveness in the global market while creating jobs. I also want to underscore how important it is for government authorities to support entrepreneurism to install innovation and to propel rather than hinder American businesses. To that end, we are encouraged by the recent set of bipartisan policy compromises and discussions in Washington. The freight railroads allowed to grow, to build, to hire and to contribute can continue to offer even a more valuable set of solutions. We're the safest, most secure, most environmentally friendly and most efficient way to move goods by land. At this pivotal point, I urge the government to lift rather than add strictures on our ability to contribute. For its part, CSX can commit that our employees will continue to safely drive to even better productivity and service and that the investments shareholders have made will continue to improve the quality, flexibility and capacity of this essential transportation network. In doing so, we will continue to satisfy our customers, meet the needs of the nation and deliver excellent results for our shareholders. With that, we will now turn to your questions. Operator?
Operator: [Operator Instructions] Our first question comes from Tom Wadewitz with JP Morgan.
Thomas Wadewitz - JP Morgan Chase & Co: Wanted to ask you a question on the expense drivers. You presented a pretty strong contrast to what we heard from Union Pacific last week, where they listed quite a few different drivers of stronger expenses or expense inflation. And I was wondering if you could talk about how big of an impact do you expect from pension, training, state taxes, casualty accrual. Is there a significant headwind underlying that? Or are those items just different than what we saw from UP?
Michael Ward: I don't know what's driving others, but what I can talk about is obviously ours. I think we are expecting this year is really not much different than what we've expected in past years. You got the issue of growth in volume, of course, our novel [ph] productivity to offset the inflationary cost that are out there, but nothing really significant that I would project at this point.
Thomas Wadewitz - JP Morgan Chase & Co: In terms of the export coal. That's obviously a pretty good business for you guys, pretty high margins. What kind of conviction do you have in the $5 million to $10 million of additional tons? It seems that maybe there is some risk that your producers would have difficulty bringing more coal out of the ground. So is that -- do you have strong visibility from the producers and strong conviction in that, or is there some risk in the supply-chain that the coal producers may not be able to meet that?
Clarence Gooden: Tom, this is Clarence. We feel very positive about it. We think our producers have the capability of producing, even with the cold weather that we've been experiencing in the coal field. David and his team has kept the velocity of the coal trains up to over 16.7 miles per hour, and we've checked the port capacity two, three times and worked with our partners in the ports. So we think we have the capacity to handle that on the port. So we're very, very positive on the 35 million to 40 million tons.
Operator: Our next question is from Scott Flower with Macquarie.
Scott Flower - Macquarie Research: Just to follow up on the export coal situation. I guess, some of the questions I've had in following on the coal companies is just that with the upper big branch in some of the impacts on safety that are coming out of the industry that they just physically may have problems producing that much more coal. And are you expecting more crossover coals to go export? Help us a little bit. Or is that going to come out of the utility market in the U.S?
Clarence Gooden: Scott, this is Clarence. Some of it will come out of the utility market in the south part of the United States because our stockpiles are slightly above normal in the south. It should not affect the northern utilities. A lot of the demand is coming out of Pittsburgh. They've seen coal over the port of Baltimore. And we feel very comfortable with that. And we also have nearly double the coal going through the Birmingham-Mobile gateways that we've had before. So as a percent of total export coal, that's the fastest growing area that we have.
Scott Flower - Macquarie Research: I know that David talked a little bit about it, but I was just wondering if you could give us some sense. I know it's hard to talk about it in averages, but where are you maybe in terms of capacity in terms of train lengths in some of the different business lines? And I know you broached the topic of terminals, but do you feel good about your terminal capacity as the business has rebounded?
David Brown: Yes,sure Scott. This is David. We feel very confident in our continued ability to go with a capacity we have available. About 10% additional volume could come into our current general merchandise train network. And we looked at intermodal automotive and believe we can bring on 15% to 20% more volume into the existing trains, given our current operating plan. At the same time, we are always looking at our operating plan and just tweaking it as we go along to make sure it has the high level of service we need to have with the capacity for growth. And terminal wise, the same thing. We're working through some productivity initiatives and automation initiatives. We see the ability to continue to grow there, as well. We're pretty confident now.
Operator: Our next question is from Bill Greene with Morgan Stanley.
William Greene - Morgan Stanley: I just want to talk about the margin trend. You talked about this 65% OR within the next few years. How much of that trajectory is accelerated or decelerated by some of these export coal trends given the profitability there? So in other words, if export coals weaken in '12, does that sort of mean we'll have to struggle to kind of keep the margins where they are? How do we think about the impact?
Oscar Munoz: It's hard to estimate, Bill. It's Oscar. As far as the long-term "Grow to 65" initiative there, we project a lot of different business areas. And there will be cycles within that. And so it will help in some areas and not help in other areas. So I can't give you a specific number.
Michael Ward: And while that business is profitable, most of our lines of business are, as well. So I think if that mix thus change a little bit, I think that still doesn't knock us off our trajectory of reaching that goal.
William Greene - Morgan Stanley: Michael, I'm wondering if you can comment a little bit further on Positive Train Control? So it seems like the freight industry is at least going to spend the amount of capital necessary to hit the goals from the FRA. But obviously the commuter rails have to play ball there. And if they aren't spending the money in achieving this, where does that leave the industry? Do we just pause? How does that move forward with the FRA?
Michael Ward: I think the way we deal with that is the law. And we have a strong policy of obeying the law. So we're going full board to have it operational by the end of 2015. We're developing the technology at this point. And you're right, some of the commuters may have some challenges, but I don't think that will impact our ability to put the system in place on our network.
William Greene - Morgan Stanley: But the burden wouldn't fall to you if they're unable to meet their obligations?
Michael Ward: That's correct.
Operator: Our next question is from Gary Chase with Barclays Capital.
Garrett Chase - Barclays Capital: I wanted to ask a couple of questions on the cost side, if I could. First, as you think about that $130 million to $140 million in productivity that both David and Oscar discussed, is there a way to give us a sense of how much of that you're already realizing in the fourth quarter? And how much of that is sort of left on the table to be achieved as we move through 2011?
Oscar Munoz: The number we're giving you is 2011 number. And so in essence, none of that was achieved in the fourth quarter because that would count towards the $151 million, I think, that David mentioned. So the project plan, the teams associated with that are scaled through the course of the year, different initiatives, different objectives, different timing. So that is a specific 2011 figure.
Garrett Chase - Barclays Capital: I guess what I'm thinking though, Oscar, or at least our assessment is the productivity across the network got better as we move through the year. So you didn't -- some of the benefits that you recognized during 2010, at least the way we look at it, you wouldn't have really had the opportunity to get a full year's worth of credit for that?
Michael Ward: Yes, obviously, some of the initiatives David put in place do carry over into next year-end and are part of that $130 million to $140 million, as well as the new initiatives he's putting in place.
Garrett Chase - Barclays Capital: Is there a way, Michael, to give us a sense of how much of that just even qualitatively is sort of new efficiencies that you need to find?
Michael Ward: Gary, I don't think we're going to have a quantification of that, but I think I would -- can say that we have high confidence that the plans in place will deliver the $130 million to $140 million.
Garrett Chase - Barclays Capital: On count per head in Q1, you referenced the headcount, Oscar. Just wondering if we're going to run into anything on the incentive comp side or maybe you could just quantify what that dynamic might look like in Q1 for us?
Oscar Munoz: The incentive comp is driven by our results. And of course, as you just heard, we had record results in this past year, 2010. Our estimation for next year, with higher benchmarks and higher plans will be that we'll revert back to a more normal average. So you'll probably see a little bit of reduction in that incentive comp in the first quarter.
Operator: Our next question is from Chris Wetherbee with Citi.
Chris Wetherbee - Merrill Lynch: Maybe if I could touch on pricing a little bit. When you think about 2011, Clarence, and you look at kind of the order of magnitude, obviously you're looking for pricing increases in advance of inflationary pressures. But is there a reason to believe there should be a significant fluctuation in the level of pricing you've been able to achieve over the last couple of years, particularly with volumes coming back at the pace that we're looking at in 2011?
Clarence Gooden: Well, Chris, I think what we said was we expect to exceed rail inflation. And on an ongoing basis, that rail inflation is around 3%, 3.5% level. And we think we can beat that handily.
Chris Wetherbee - Merrill Lynch: There's nothing specific though whether it be legacy, which just seems to be pretty much done that would, I guess, impact fluctuations relative year-to-year. But obviously, you kind of just want to pace above that 3.5%.
Clarence Gooden: That's right.
Chris Wetherbee - Merrill Lynch: When I think about capital deployment switching gears, Oscar, obviously, from a cash balance perspective, you saw the number bump up a little bit in the fourth quarter. And I guess we'll probably get more information at the end of the first quarter about what your buyback plans may be. But any kind of thoughts about how you think about that aspect of it, whether it's dividend or buyback in capital deployment?
Oscar Munoz: Well, as you know, and we've said this quite constantly, we remain committed to our balanced approach for deploying capital for shareholders through both investing and the shared dividend and repurchase programs. I think in our May Investor Conference, you'll get a broader view about our capital structure and what we're planning for the future.
Operator: Our next question is from Chris Ceraso with Credit Suisse.
Christopher Ceraso - Crédit Suisse AG: A couple of questions on regulatory environment, Michael. Absent the change in legislation, how much room do you think the STB has to affect meaningful change in regulation?
Michael Ward: Well, I think that, obviously, as you know, there are some hearings that have been scheduled to look at a broad range of economic regulatory issues. I think we're somewhat encouraged by the President's executive order that he signed on January 18, putting out that we thought that we ought to be looking at lessening regulation, certainly not putting new regulations in place. And I think if you look at the freight rail industry, were a perfect sample of a company that needs to be able to continue to contribute without further regulation because we do help with job growth, manufacturing strength, competitiveness of U.S. companies. So we're encouraged and hopeful by that executive order that we're not going to see new regulatory burdens imposed upon the rail industry.
Christopher Ceraso - Crédit Suisse AG: Do you think that order opens up the window maybe to dial back PTC or have some change in that mandate?
Michael Ward: We would certainly hope so. There are certain aspects of that. We have been having ongoing discussions with the Federal Railway Administration on, particularly what does the map look like? Do we use the 2008 traffic flows or the 2015 traffic flows to define what that network is? And we would hope that as part of that examination asked for by the President, there would be some relief on the expensive and unfunded mandate with its negative return on investment
Operator: Our next question is from Ken Hoexter with Bank of America Merrill Lynch.
Ken Hoexter - BofA Merrill Lynch: Just on the export coal jumping up, are there capacity investments that you need to make or can the port handle it right now?
Clarence Gooden: Ken, this is Clarence. In our assessment of our three main exporting facilities, which are Mobile, Newport News and Baltimore, we think we have the capacity in place right now to handle the 35 million to 40 million tons.
Ken Hoexter - BofA Merrill Lynch: Oscar, on the $130 million to $140 million in productivity, you've been using $130 million to $150 million. Am I reading too much into that that you're tightening that range a little bit?
Oscar Munoz: No, you're not reading anything into it. That's the number. Yes, it's a little bit of a tightening. As you know, and David showed it in his chart, we had a great success over the last few years. It's just a little tightening, but the team is terrific and often over-deliver, so we'll keep you posted.
Ken Hoexter - BofA Merrill Lynch: Dave, you noted in your presentation that on-time arrivals have fallen to 70% from 79%, but you didn't mention kind of is it just weather or is there something more going on that's kind of impacting that ratio?
David Brown: Ken, we really had a strong, we believe, a strong service performance in the quarter. We did have some impact from winter weather, particularly in December. So that did influence that number downward a little bit. But at the same rate, we believe that the overall service performance certainly supported the growth you've heard about today, and we'll continue to really work hard, be driven on improving it and making it the best it can be. But we're pretty satisfied with where we're reporting today.
Operator: The next question is from Scott Group with Wolfe Trahan.
Scott Group - Wolfe Research: Clarence, have you set the export met and thermal tires for it for this year? And what kind of increases are you thinking about for 2010? And then on the capacity side, you've been pretty clear you think you can handle the 40 million tons, what are the mines and ports telling you that actual capacity if demand's even stronger? How much above 40 can you go?
Clarence Gooden: How much above 40 can we go? We think that there is some play above 40. And we think both in the short term and the mid term with some CapEx investments with our partners, in which we have the plans on the drawing board that we can increase said capacity. As it relates to the tariffs, the tariffs, as you know, get revised in April for most of the export coal, particularly on the metallurgical side. And we're going to watch what the marketplace is doing in trying to price that marketplace.
Scott Group - Wolfe Research: One more for you, Clarence. You talked on the call about some lost short haul phosphate volumes and a lost intermodal customer. Can you quantify those and talk about the timing for when those will grandfather?
Clarence Gooden: I don't want to talk about the intermodal customer because that's up to that customer to make public any of the remarks they want to make, Scott. But on the phosphate side, it was a well-publicized event down at the Bone Valley, which the Sierra Club filed a suit against Mosaic. And one of the would-be phosphate mines was closed down temporarily. And that order was appealed. They were allowed to reopen that mine. It's currently operating right now. That issue will get revisited again in April.
Operator: Our next question is from Justin Yagerman with Deutsche Bank.
Justin Yagerman - Deutsche Bank AG: First question relates back to the met coal, and I know there's been a lot asked about it. In the second quarter of last year, you guys show outsized pricing due to increased volumes in met coal. I just wanted to get a sense of the sensitivity around as we span the range of 35 to 40 and perhaps even slightly above, if you guys are able to do that this year, how is that going to impact pricing depending on those volume levels? And what kind of increases could we see if we see above trend coal in the quarters?
Clarence Gooden: What's happening in this export coal market now in our view is that the incremental tons that are coming in are thermal coal, principally going to northern Europe. And the thermal coal won't attract the same level of rate that the metallurgical coal does, although it will attract a very profitable rate. So does that answer your question?
Justin Yagerman - Deutsche Bank AG: So if I'm hearing you right, the incrementals are not necessarily as high as if it was all met coal because of all the [ph] cost that they need to come up with for the coal?
Clarence Gooden: That's right.
Justin Yagerman - Deutsche Bank AG: And the next question is on the share repurchases. You guys alluded to the fact that you're going to be done with your current authorization as of the end of Q1. I was just curious if you had any thoughts on general return of capital to shareholders. And when you think about once you're done with that, how you think about balancing the dividend versus share repurchases? And then I guess the timing from either a board meeting standpoint or just a management thought process standpoint in terms of re-upping that share repurchase once you're through with it?
Oscar Munoz: Just a reminder of how we do think about our sort of deployment of capital back to owners. I think primary is the reinvestment in the business, which you've seen us do quite a bit. Actually the secondary is on the dividend increases, and you've seen a lot of that. And sort of on a tertiary basis, we do the share repurchase, but as I said on the call, we've done quite a bit of that. We'll continue that balanced deployment. We will talk more about the broader deployment at the May Investor Conference. That's probably the right time for that. But in the interim, you will see the finishing off of our current authority on the repurchased aspect. So we think about all of them in that way.
Operator: The next question is from Scott Malat with Goldman Sachs.
Scott Malat - Goldman Sachs Group Inc.: I just wanted to follow up on the on-time originations. I know that you're still high versus historical standards. Just historically, for all the rails, if you kind of go through it, it's been a good early indicator of maybe some more stress in the system. We haven't seen that here by any means, I totally agree with that. But at what point would it be an issue? And what should we look out for? And if volumes are as strong as you kind of giving us an outlook, why won't it continue to kind of decline from here?
David Brown: Scott, originations do are a reflection of our service-level. We do focus on maintaining those at the high level. And as you fluctuate up and down, it also is a factor of our operating plans, where our one plan is the control mechanism that we use. So that we schedule traffic through terminals, we schedule traffic over our line of road over at levels that we can move productively and efficiently, given the capacities that we have. So that's sort of how we, in the medium-term, focus on maintaining those at a high level. It's a daily focus that we have. It's not publicly reported, but it is something we talk about quarterly. And of course, we look at it daily and multiple times a day, and it's a key focus.
Scott Malat - Goldman Sachs Group Inc.: So I guess, at what point would you be worried if it dip below certain levels? Are there certain targets that you try to stay above?
David Brown: We don't want to go -- we want to stay in the 70s to 80s range. And also we look at that on a market segment basis. So we look at it segregated by intermodal. We look at it by our merchandise trains and in several priority areas for premium traffic and so forth. So it does mean more in some of those segmented areas than others.
Michael Ward: Scott, as David indicated during his presentation, we do have additional assets we can we redeploy, so we will keep that in that 70 plus range as we go forward.
Oscar Munoz: And I'll just finish up with just a general comment that our guidance on our operating ratio improvement not only in 2011 and beyond, obviously, is all predicated on delivering great service to our customers. So that is in the foundation of our numbers, and were pretty confident about it.
Scott Malat - Goldman Sachs Group Inc.: And then the other question I have is on maybe a longer-term outlook for coal. We've been hearing about EPA-proposed emission standards, maybe in a report in March or whenever that comes out. Is there any way you can help us think about some of the risks in there for us? Or some of the things you are looking out for, I guess is the better way to put it?
Michael Ward: Scott, our numbers and our research indicates that over the next decades, worldwide coal consumption doubles. It's driven mainly on a worldwide basis by the economic growth in India and China. That's also being built by steel in those countries for their infrastructure. So we think the export markets are going to be very positive. In the domestic markets, we've had some plants close on CSX. Those were older, smaller plants. There were 13 of those plants on our network. And they represented less than 5% of our total annual tonnage. And we believe what will happen there is some of the newer plans will have to throttle up to higher production rates in order to make up for that.
Clarence Gooden: These plants are 50- and 60-year-old. Less efficient plants to begin with.
Scott Malat - Goldman Sachs Group Inc.: But if you go forward, you think, if there's any more closing on the East Coast because of less coal burning by utilities, given EPA emission standards, you can make that up in export? Is that the way to kind of think about it, to be offset?
Michael Ward: I think so, yes.
Operator: The next question is from John Larkin with Stifel, Nicolaus.
John Larkin - Stifel, Nicolaus & Co., Inc.: On the intermodal side, I think Clarence indicated that you had a strategy in place to try and make sure that you had ample containers available for your customers. David Brown indicated you had 15% to 20% excess capacity on the intermodal side. Looks like there was a lot of leverage there. Could you illuminate us a little bit on this container availability strategy?
Michael Ward: Yes, John. This past year, 2010, in the fourth quarter particularly, there was a acute shortage of domestic containers on the West Coast versus what the demand was. And as a result of that, we were able to get some pricing action there. What we have done in our UMAX program as well as the Union Pacific is doing on the UMAX program is adding capacity in that as we speak. So we'll have, somewhere in the neighborhood of 7,000 plus domestic containers more for this year, particularly in the fall peak that we had last year in the fall peak.
John Larkin - Stifel, Nicolaus & Co., Inc.: As a follow on in another commodity area. Automotive traffic looked very strong in the fourth quarter. In your outlook, you indicated that you thought that would remain strong. Could you give us a little color on how that breaks out between domestic and foreign transplants? Where the real strength is? Whether there are any new plants about to come onstream? Whether you're seeing people increase production, et cetera?
Michael Ward: There's a new Volkswagen plant that's coming onstream in Chattanooga, Tennessee, here this year. We're seeing growth across just about all segments, whether it's the transplants or whether it's the domestics. As you know, both Ford and General Motors have gotten improved sales. It's coming along. At least 1 million more vehicles produced this year than in North American vehicle production that was produced last year. So there's all positive trends in that Automotive business.
Oscar Munoz: The current forecast is like 13 million light vehicle production.
Michael Ward: That's right.
Operator: Our next question is from Cherilyn Radbourne with TD Newcrest.
Cherilyn Radbourne - TD Newcrest Capital Inc.: With respect to intermodal, just what you're hearing from customers regarding the need to restock, following the Christmas sell through? And how you think the early Chinese New Year may impact the flow of your volumes in the first quarter?
Michael Ward: The early Chinese New Year, which I think starts on February 3, has people -- are shipping right now in January to avoid that two-week shutdown in Asia. So the international traffic has been reasonably strong. The domestic intermodal traffic has not been as strong in the first quarter as obviously it was in the fourth quarter. So there's a little excess capacity in there. Truck rates off the West Coast are down slightly as we go through this slump. It will slump down a little bit here during the lunar new year. But we think in the spring, it'll come back fairly strong because inventories are at reasonably low levels.
Cherilyn Radbourne - TD Newcrest Capital Inc.: I'm just wondering, Oscar, maybe you could speak about the medium-term operating ratio target and how your medium-term view of fuel feeds into that? Because, obviously, fuel surcharge revenue has got a 100% operating ratio associated with it, and higher fuel prices tend to degrade everybody's operating ratio.
Oscar Munoz: Cherilyn, you're absolutely correct. The midterm view obviously is a steady progression towards that 65 within the five years. Fuel would be, if you ask me the question, would maybe probably a high significant and consistent fuel spike would cause us a timing impact in a particular quarter or year because of exactly what you mentioned. Having said that, the forward curve today is up a little bit, but not greatly that that would have that impact. I agree math-wise, anything over 100 starts beginning to have some near-term effect on the lag. But again remember, it's just the timing aspect that we're, in essence, catching up over time.
Operator: The next question is from Jason Seidl with Dahlman Rose.
Jason Seidl - Dahlman Rose & Company, LLC: On the intermodal front, Clarence, maybe you can talk about sort of walking between more volumes and pricing. It seems like you could probably get both this year as truck capacity tightens.
Clarence Gooden: That's the plan. That is exactly the plan.
Jason Seidl - Dahlman Rose & Company, LLC: On the export coal, how much of the 35 million to 40 million tons is actually committed capacity for 2011? What percentage is committed?
Michael Ward: I don't know of that incremental number. I would tell you that of the total number, in excess of 50% is already signed contracts now.
Jason Seidl - Dahlman Rose & Company, LLC: In excess of 50%? Perfect.
Operator: Our next question is from Keith Schoonmaker with Morningstar.
Keith Schoonmaker - Morningstar: You grew comparable period volume by about 7%. Can you share the commensurate increase in crew starts or train starts please?
Michael Ward: The question is we're up 7% in volume, what was the percentage of crew starts up? We're looking here. For a second, please, Keith. Why don't you ask your second question while we're searching?
Keith Schoonmaker - Morningstar: The 13% of CapEx budgeted for regulatory requirements including some unfunded mandates, is this crowding out investments and things like capacity expansion or low emissions locomotives?
Michael Ward: You're asking a very good question there because clearly, this mandate is diverting capital from other improvements we might otherwise make, Keith. We think that's rather unfortunate, but it is a law. It is an unfunded mandate that we're going to meet. But clearly, it's inhibiting, to some extent, us making other investments that we would like to make. And I think we now have an answer to your first question.
Oscar Munoz: We had about 9% train starts in the fourth quarter.
Keith Schoonmaker - Morningstar: So eventually, of course, as more volume comes back, we will have to have additional starts. And sounds like we have approached that point now?
Oscar Munoz: That's correct. We did add some trains in both the automotive and the intermodal networks to support some of the growth.
Operator: Our next question is from Walter Spracklin with RBC Capital Markets.
Walter Spracklin - RBC Capital Markets, LLC: When you look at through the year, is there a period in the year where you expect most of your 2012 pricing to get done? And sort of what quarter you're expecting most of it to get done for 2012?
Michael Ward: Third and fourth quarters.
Walter Spracklin - RBC Capital Markets, LLC: And roughly in terms of order magnitude, is that 50% of them in those quarters?
Michael Ward: Both quarters combined will start to approach 75% towards the fourth quarter.
Walter Spracklin - RBC Capital Markets, LLC: The second question, again, when you look at your pricing target of inflation plus, is there any mix affect that you see in 2011 that is going to help or hinder that? And is there any sort of specific commodity groups that you might have that might be towards lower and that might get some risk to that to hitting that level, or is it fairly even across the board?
Michael Ward: Number one, I think that on a same-store sales basis, it's going to be very positive because the mix won't impact that because it will be differed OD pairs that's involved in that. But to answer your question on mix. Mix should be positively impacted this year, driven mainly in our Phosphate business because our projections are or a lot of interior phosphate, long-haul phosphate come in as we anticipate high corn and soybean plantings. So that should be positive. With export coal being up, that'll be a positive mix in our numbers. So it looks very good from a mix standpoint.
Walter Spracklin - RBC Capital Markets, LLC: Order of magnitude there, is this 100 basis points or is it just 50 or somewhere in between?
Michael Ward: Inflation plus pricing.
Operator: Next question is from Jeff Kauffman with Sterne Agee.
Kanchana Pinnapureddy: It's actually Kanchana Pinnapureddy in for Jeff. I just have one follow-up on the export coal side. Of that 35 to 40 million tons that you expect to ship in 2011, could you talk about how much is going to Asia and how much is likely to be more shorter-term replacement going to Australia?
Michael Ward: Of all of the coal that we will ship between the 35 and 40, the mix will be 50% to Europe, 25% to Asia and 25% South America.
Kanchana Pinnapureddy: And then could you also give us the number for 2009, how much met coal was shipped?
Michael Ward: 2009? Two years ago? 2009 was mostly thermal coal that we shipped that year.
Oscar Munoz: Why don't we get back to you with the answer to that question because we don't have the data.
Operator: Our next question is from Matt Troy with Susquehanna.
Matthew Troy - Susquehanna Financial Group, LLLP: For Mike or Clarence. One on GDP or IP assumptions. You've referenced volume growth in 2011 of economic growth plus for your traffic, just wondering what your bogey is. I'm guessing it's between 3% and 4% on economic growth, so you're talking about volume growth for you in the mid-single-digit, is that correct?
Michael Ward: That's correct.
Matthew Troy - Susquehanna Financial Group, LLLP: Clarence, no reason to question your guidance on export coal last February, you said 30 million tons. You did 30 million this year. This period, the 35 to 40, have you seen inquiry as a result of the flooding in Australia? I know it's a fairly recent event, and this guidance that you formulated obviously isn't -- a lot of thought bottoms-up work goes into it. Have you seen a lot of customer inquiry about alternative sourcing due to the flooding in Australia? And how much of that is in this guidance, if at all?
Clarence Gooden: There's two answers to that. First one is we've seen some inquiry, not a lot, some. Because people are still in the assessment mode. And then as the unfortunate incidents in Australia sort themselves out here over the next few days, weeks and months to come, it will give us a clear view to how much of that 35 to 40 is actually going to be impacted by Australia.
Matthew Troy - Susquehanna Financial Group, LLLP: So is it fair to assume that there's an upside bias you would move more coal better than last because of that situation?
Michael Ward: We won't move less than that 35 to 40. There's a potential to move more, yes, absolutely.
Operator: The next question is from Anthony Gallo with Wells Fargo.
Anthony Gallo - Wells Fargo Securities, LLC: Question for Clarence. I wasn't clear if you offered an outlook for agriculture, both domestic and export please.
Clarence Gooden: We did not, but it seems to us to be very positive. As you're aware commodity prices, particularly corn, wheat and soybeans, have skyrocketed. There's drought in South American, flooding in Australia. So we think that the corn crops and the soybeans which obviously have not been planted yet will be very big crops. And given the fact that ethanol now for cars built after 2001 or later can go to a 15% blend, the demand for corn in this country will go up.
Anthony Gallo - Wells Fargo Securities, LLC: What is your export opportunity? What's the rough percentage there?
Clarence Gooden: For the eastern roads, it's very small versus what you're going to see in the western roads.
Michael Ward: We'll have more of ours going to feed mills, right?
Clarence Gooden: That's correct.
Anthony Gallo - Wells Fargo Securities, LLC: And then a different question. Back to Scott Flower's earlier question about train lengths and I think distributive power. Are those improvements largely complete? And what role are they going to play in the margin story going forward?
Clarence Gooden: Anthony, we, as far as distributive power is concerned, we're always looking for opportunities to do that. And we do have some areas where we're using distributive power today. I'm sure in the future we'll find other opportunities. But largely, where we're going to be for a while would be distributive power because it is sort of just the function of geography and the types of trains that we run over our different core routes. As far as train lengths are concerned, again, we are looking at our operating plan, our regular base, try to improve our length of trains. But at the same time, make sure we can figure an operating plan that maintains capacity for growth. So incrementally, we're always going to have some capacity in that train plan to add additional traffic. As we've talked about in the fourth quarter, we did reset our train plans somewhat in the fourth quarter by rebuilding our dedicated automobile network. So we put on trains that are automobile-only trains where we had previously with a lower volumes has been using a lot of our merchandise trains to move automotive. At the same time, intermodal has growth occurs there where we add additional train starts on just a basis to maintain some volume of capacity growth within our existing network. So that's been our strategy, so you'll see that we'll continue to do that going forward.
Anthony Gallo - Wells Fargo Securities, LLC: Is that a margin headwind or tailwind? Or does it not have to play out that way?
Oscar Munoz: I guess margin, it helps the better we do that. And it's been part of long-term plan.
Operator: The next question is from Donald Broughton with Avondale Partners.
Donald Broughton - Avondale Partners, LLC: I noticed that, since we're getting down into the minutiae, we returned to the kind of seasonality very, very strong pricing in phosphate. In the fourth quarter, we're up 32% year-over-year up to like 21% sequentially. Is that something we should be looking forward on an ongoing basis or have we risen to a new base load rate per car on phosphates.
Clarence Gooden: Donald, this is Clarence. What we're going to do on our Phosphate business is price to the market what the market demand is. So the more demand, the better we price, and it will see rail inflation.
Donald Broughton - Avondale Partners, LLC: So is it more seasonal? Have we reached a new base?
Clarence Gooden: I think we've reached a new base.
Operator: The next question is from Carter Leake with Davenport & Company.
Carter Leake - Davenport & Company, LLC: If you could just break out the 30 million tons in 2010 by Mobile-Hampton roads in Baltimore, just rough percentages?
Clarence Gooden: 50% at Newport News, 25% at Baltimore and 25% at Mobile.
Operator: Our final question comes from Peter Nesvold with Jefferies.
Peter Nesvold - Bear Stearns: On weather, you cited weather in 4Q, but you didn't really quantify the impact. I'm just curious how is January trending relative to 4Q overall?
Clarence Gooden: January started very strongly from a service standpoint as we came through the new year. And the early two weeks were a couple of our better weeks going back for a pretty good long period of time. And I'm sure you'll see that in the measurements. We have over about the last week or so seen quite a significant impact from weather again. Very frigid cold in the Northeast, especially up in our Albany division. With snow across the southeast and a number of places. I mean, that's what we do every year. It's an outdoor sport, as we say. We weather the storms. So we know over time, we're going to return to the high-level that we started the year with. And consistently across the first quarter, we'll see good levels of service performance. And we're focused on that. We have the resources it takes to make sure that happens. But most of all, we've got the most committed people to serve our customers safely, and they're out there right now doing everything they need to do to keep the service of the highest levels they could be at.
Michael Ward: Obviously it's only three weeks into the year. But so far, despite that weather, we're seeing strong demand pretty much across all markets.
Peter Nesvold - Bear Stearns: It looks like the velocity was holding up pretty well in the first two weeks, so I guess I can read across from that.
Michael Ward: Correctly. I mean Clarence mentioned coal velocity still in our higher range. And we're really working hard and maintain it there. And even despite the weather, our teams out in the coal field areas are pretty good just keeping things running at a high-capacity, high rates, so we can meet that additional volume that needs to go to export.
Peter Nesvold - Bear Stearns: I think you said you're down to 11,000 cars in storage. What's the mix of that car storage looking like in -- for instance, if you do get 25% type growth in export coal, do you have enough coal cars within your current network in order to handle that type of growth?
Michael Ward: Some of those cars, about 600 are coal cars that are in storage that we can bring out, plus we're out in the open market now looking at some. And we've got new cars in the coal side of the business that are coming in June. We have some order racks still in storage. We have some 52-foot scrap cars still in storage. Lots of center being lumber cars in storage, and a few bulkhead flats in storage. What we don't have is covered hoppers. What we don't have is covered coals.
Michael Ward: Thank you, Peter. And thanks, everyone, for joining in for our call today. We appreciate your interest.
Operator: And this concludes today's teleconference. Thank you for your participation in today's call. You may disconnect your lines.